Operator: Good morning, everyone. Welcome to Rubicon Organics First Quarter ended March 31, 2024 Financial Results Conference Call. As a reminder, this conference call is being recorded on May 16, 2024. At this time, all participants are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at that time for research analysts to queue up for questions. Before we begin, I will refer you to Slide 2 of our presentation, which contains Rubicon's caution regarding forward-looking statements and non-GAAP measures. Today's presenters will be Margaret Brodie, CEO; and Janis Risbin, CFO. I will now turn the call over to Margaret Brodie for the presentation.
Margaret Brodie: Thank you and good morning, everyone. Today, I'll provide an update on Rubicon Organics and the performance in Q1 2024, highlighting our progress as a leader in the Canadian cannabis market and discuss our plans for 2024. Despite a seasonally soft Q1, Rubicon delivered continued market share successes on the strength and quality of our leading premium brand portfolio. We now enter Q2 with a significant opportunity to grow our business and extend our premium market share leadership through our first entry into the $800 million Canadian vape category with our high quality, true to flower, full flavor forward, full spectrum extract resin base launching this week. As evidenced in our premium edibles portfolio launch through 2023 which quickly captured the number one overall premium edible market share position with 31% in March of 2024. Our leading brand reputation creates consumer excitement around new Rubicon products and our leading quality ensures that consumers become repeat buyers. We have achieved significant accomplishment in Q1 '24 as our premium brand portfolio regains the number one premium market position in Canada across all categories, including a market share of 7.1% of premium flower and pre-roll. In the overall Canadian cannabis flower and pre-roll market, we hold 2% overall market share position as we continue to grow our strength across other categories leveraging the power of our leading premium brand portfolio where in the first quarter we delivered almost 31% share of the topical market and a meaningful 23% of premium edibles ending the quarter as I mentioned with upward momentum delivering 31% share of premium edibles in the month of March. In Q1 '24, we delivered $8.9 million in net revenue and $2.2 million in gross profit before fair value adjustment with an adjusted EBITDA of negative $400,000 owing to our product mix and ERP system investment. We have invested in working capital for our new product launches impacting our rolling operating cash flow reducing it to $4 million in the 12 months to March 31, '24. We achieved a significant milestone on May 3rd when our growth potential and strong presence in the Canadian market was recognized by AdvisorShares ETF YOLO, our first ETF investment. Our largest growth driver in 2024 is expected to be the launch of our 1964 full-spectrum extract resin vapes. In 2023, the vape category was an $800 million market and the fastest-growing significant segment in the Canadian market. Rubicon is debuting our vape line with our bestselling and consumer loved Cultivars, Comatose and Blue Dream and we are leveraging our premium brand strength and quality reputation to seize our fair share of the significant category. We are excited to announce the introduction of our premium flower intubate format. The successful launch of our 1964 edibles in '23 can be attributed to the brand's solid reputation. Unlike edibles, where experience is largely based on ingredient flavor, vape quality relies directly on the caliber of the input flower. This gives us reason to believe that our vape line will resonate with customers benefiting from our brand recognition and reputation for high-quality products. We have made our first delivery to the BC distributor and expect to have our initial purchase orders for Ontario and Alberta delivered by the end of May. Products will then be available for consumers in stores within a couple of weeks. By the end of '24, we plan to have over 4, 5, 10 vape products in each of these markets. We estimate that in 2025 this could generate growth over 20% on our 2023 net revenue. The vape category is large and growing. Between 2021 and 2022, it grew 29% and, on that base, it grew another 18% in 2023. The vape market is particularly popular with Gen Z and millennials who make up 2.8% of all U.S.-Canada sales and 71% of all vape sales in 2022. In Canada, the flower, pre-roll and vape segments are the three dominant categories within the cannabis market which collectively make up 85% of total 2023 sales. Vape is the third largest category at 16%, but as I mentioned that was the strongest growth. We expect the vape category to grow to approach 30% and mirror established U.S. markets such as California where it is 27% and Colorado where it is 29% according to headset data for 2023. The strength of our premium brands has given us the platform to expand our product lines and in Q1 2024, we continue to launch new products under each of our flagship brands with some examples as follows. For Simply Bare Organic, a super-premium cannabis brand targeting the cannabis connoisseur, we launched new and novel genetics such as our organic Power Mintz and we delivered our first ever organic Live Rosin Soft Gels into market. Under 1964, we launched two additional flavors of Live Rosin Gummies following with the initial success of our premium edible portfolio which grew to 23.5% market share during the quarter, up 9.5% from 14% share in Q4 '23 and contributing to Rubicon earning the number one overall market share position in the Canadian premium edible category. For the month of March 2024, we ended with the market share of 31%. In addition, we put our first cured Indico resin into the market with gelato #41 and saw the little brand attention and fun with our 1964 poutine sauce launched first [ph] in Quebec. Our flagship wellness brand Wildflower dominance continues in the topical category with 31% market share increasing from 17% in Q1 '23 and increased our offerings of the minor cannabinoid products with the addition of our THC live rosin, vegan and gluten free gummies into a 30 pack and the entry into the oil category for the first time with Sweet Dreams Oil. New genetics are vital for leadership in the premium cannabis industry and are important for consumers in leading premium cannabis brands to address emerging market trends. Our strategy is to launch new and unique offerings and here you can see just some of our 2023 launches and those underway or planned in 2024. This genetic strategy is similar to other premium leaders in the U.S. such as cookies and alien lab and in our view is essential to maintaining our leading premium brand portfolio. We continue to lead to leverage this premium brand leadership by launching new and exciting products and by entering segments that showcase our leading ability. I will now pass the call over to Janis, who will share some more specifics on our financials.
Janis Risbin : Thank you, Margaret, and good morning, everyone. As we look to our financial results, we had anticipated a challenging quarter one due to typical seasonality as well as the overhang of weak consumer sentiment from 2023 and we broadly delivered in line with our internal expectations. Specifically, in the most recent quarter, the company earned $8.9 million of net revenue reflecting the seasonal low we typically experienced, but more importantly returning to modest net revenue growth of 1% versus the same period prior year. Although we continue to see effects of price compression and the move to larger formats within the flower category, we are starting to see some early signs of the stabilizing within our results, particularly from our 1964 brand. Gross profit for the quarter at $2.2 million and gross margin at 24% were impacted by the continuing trends we saw in the second half of 2023. Notably, price compression and moves to lower price larger format as well as an innovation-driven mix shift into lower margin categories. These mix effects are further hindered in the first quarter by the seasonally lower absolute sales over our largely fixed cultivation costs, depressing our margin even further in the current period. We expect to see an improvement in gross margin for the balance of 2024 as net revenue increases and we rebalanced our focus between our higher margin core flower portfolio and our new innovation launches. In addition to the gross profit pressure in the quarter, we also invested $0.3 million in our ERP implementation project, which readies us for future growth. The net result of which unfortunately resulted in a negative adjusted EBITDA for the quarter. Operating cash for the quarter was negatively impacted by the lower adjusted EBITDA as well as an increase in receivables outstanding at quarter end and an investment in working capital for upcoming new product launches. Although the adjusted EBITDA and operating cash results dipped in the quarter from our positive streak, this was largely anticipated in our planning as we set the company up for continued growth in the balance of the year. Our working capital position continues to reflect the repayment of our long-term debt by year-end. This facility bares interest at a very compelling rate of 7.5% compared to Canadian Prime at 7.2%. We are in active discussions for refinancing at similar rates and expect to have this in place in the second half of 2024. I also want to take this opportunity to confirm that we are current with our excise tax obligations. As we look at the rolling 12-month run rate, we see the revenue declines we experienced in the second half of 2023 now stabilizing with the most recent quarter and still showing modest 3% growth over the trailing 12-month period. The gross profit before fair value adjustments decline is being driven by factors already discussed: price pressure in the flower categories, adverse product mix towards larger size, lower price per gram format and innovation into lower margin categories. Our Simply Bare brand particularly felt the pressure in late 2023 as well as the impact of seasonality into the beginning of 2024. However, we are excited for the potential of the brand with the new genetic launches planned for 2024, with BC Organic Power Mintz and BC Organic Fruit Loopz both off to a great start. The 1964 brand has already started to stabilize the flower performance in the first quarter of 2024 and the successful edibles launch under the brand having majorly contributed to Rubicon achieving the number one market position for Premium Edibles. Wildflower continues to lead the topical category, now at 31% market share, with new formats launched in 2023 contributing to continued net revenue growth of the brand. We have leveraged the strength of this brand by focusing on the daily wellness consumer and launching live rosin and minor cannabinoid infused edibles in the fourth quarter of '23. Despite the small dip in our adjusted EBITDA and operating cash flow performance, our quarter one results were largely in line to our expectation and continue to build our confident in our business plan for 2024 and set the foundation for another year of strong results for Rubicon. I would now like to turn the meeting back to Margaret.
Margaret Brodie : Thank you, Janis. In the past, I have spoken about where the Canadian cannabis industry sits and what is to come. We are starting to see more clearly winners emerge as the Canadian industry faces financial distress including large amounts owing to the CRA now being acted on with garnishments of bank accounts and revenues from provincial distributors, then CRA excise tax licenses revoked. Despite the distress in many parts of the Canadian industry, there are some foundational pieces of good news. The legal market continues to grow coming off record legal sales totaling $5 billion in '23. We saw annualized growth in Feb of '24 of almost 16%. A large opportunity remains for the conversion of the illicit market where an estimate of 40% to 50% of consumers are still purchasing. Trends and data indicate that over the next three years the premium cannabis market will grow by over $300 million of which Rubicon currently has around 7% market share. Demographically, cannabis use is highest among 20-year to 24-year olds with 50% having consumed in the last 12 months pointing to expected organic category growth to continue over time. In the coming quarters, we anticipate ongoing pressure on companies to settle excise payments. Some may navigate through receivership and reemerge while others may cease operations permanently. We've already observed a decline in the number of LPs in the market over the past six months. We are strategically positioned to pursue M&A from an advantaged pragmatic position and are only evaluating synergistic opportunities that present themselves at value prices. We intend to grow our business in 2024 and beyond. We leverage the power of our premium brands to grow our revenue and adjusted EBITDA in our largest revenue growth driver opportunity such as the launch of the 1964 vape in Q2 which we expect to mirror and surpass the success of our '23 1964 Edibles launch. We have a solid footing from which to grow. We have a strong balance sheet, which we expect to further strengthen with our debt refinancing. We have an enviable number-one premium brand positioning in the cannabis sector, excellent people, strong brand reputation and great relationships with customers. We have our organic growth continuously maximizing yield and quality at the Delta facility and as previously disclosed in '23, we installed tables which we expect to boost yield at Delta up to 10% and increase plant health, which should translate to further increases in flower quality. Beyond vape, we are also applying external capacity to our business through co-manufacturing relationships such as our recently launched Simply Bare capsules and wildflower edibles. And through targeted and trusted contract grow relationships using our own genetics to build the demand for our brands where appropriate. Our goal is to procure around 1,000 kilos of high-quality biomass from contract growers in '24 and expand beyond that in the following years. We are taking advantage of a notable shift in Canadian LPs who are looking to grow great leads, partner with best in class brands and stay away from the complexity of brand building. Finally, as competition falls away in '24, it opens up opportunities for successful companies like ours to seize market share. We prioritize product consistency, superior quality and more unique full-body flavor exactly what the consumer desires. We will be opportunistic as and when the right opportunities arise for our business to grow as we see a growing market and assets getting cheaper by the day. We have many strategic projects underway in 2024 and in the near-term we are looking to deliver the launch of our FSE resin vape line under 1964 that we expect will demonstrate the power of our brand positioning and flower input quality. Our ERP implementation to ready Rubicon for growth. And lastly, refinancing of our debenture due December 31st for longer-term financing around the same interest rate as existing terms. With our premium brand positioning solid balance sheet and positive trajectory, we expect to deliver continued growth in net revenue accompanied by adjusted EBITDA for the full year '24 as well as positive operating cash flow. Rubicon remains focused on our business strategy and delivering positive results to ultimately drive value for our shareholders. Despite the Canadian cannabis industry being hampered by various challenges, Rubicon is the number one premium licensed producer and we look forward to 2024 continuing strong profitable performance from our premium branded portfolio. We would now like to open the line for analyst questions. Operator, please open the line.
Operator: [Operator Instructions]. Your first question is from Neal Gilmer from Haywood Securities. Please ask your question.
Neal Gilmer: Good morning. Thanks, very much for the questions. Just wondering if you can comment a little bit more about what you're seeing on the consumer sentiment side. Like obviously you talked about what you saw coming out of '23 into Q1, had a slight impact there. What have you seen so far in Q2? Are you seeing, still some cautiousness from the consumer or how are you seeing that sort of unfold this quarter?
Margaret Brodie: Good question, Neal, and good morning. Look, we really saw a cautiousness probably and looking over at Janis, we really think until about the end of the first week in February, and then the Canadian economy started to tick up. We could see that in our results. We think we're the premium segment in particular is impacted by that. And going into Q2, I would say probably a bit more than cautiously optimistic, probably even optimistic, in what we're going to see in the rest of the year. You'll notice our guidance is unchanged in terms of growth in our revenue and our and continued adjusted EBITDA positive through the rest of '24. So, we're very comfortable in saying that sitting here today.
Neal Gilmer: Great. Thank you. And then, obviously with the launch of into the vape category, how should we think about sort of the cadence of that with respect to purchase orders and getting into various different provinces, is that mostly an H2 impact or we'll see a little bit of revenues out of the vape category in Q2?
Margaret Brodie: Yes. Janis, you take that one.
Janis Risbin: Hi, Neal. I think for that one, it's going to be a slight slow burn. As Margaret said, we did get the initial purchase orders this week. It takes a little bit of time to get them out of store and then it takes time again for the stores to make their reorder. So, while we expect to see a little bit of results in Q2, we expect that to pick up in momentum from Q3 and then later in the year when we extend the range even further once we have those early signs of success.
Margaret Brodie: We're very excited about the way the products turned out, the initial reception and excitement about it. And look, it's a great full-spectrum product, which really highlights the quality of the flower. So, it's the closest experience to our flower, and I think cannabis consumers will love it.
Operator: [Operator Instructions]. Your next question is from Andrew Semple from Echelon. Please ask your question.
Andrew Semple: Good morning, Margaret and Janis. Thanks for taking my questions. I'll say on the vape category, first off, so you're entering this new category, which you've not played in before. It's a sizable category and a competitive category. Maybe if you could just give some sense of where you think Rubicon's products will really stand out. I think you commented a bit on this in the prepared remarks speaking to the differentiated quality of the inputs. Do you think the consumer will require some education around that or do you think that there is consumer base out there that is looking for this and that Rubicon is filling an unmet niche in the market?
Margaret Brodie: Thank you for the question, Andrew. Firstly, Rubicon doesn't believe that we always need to be first to be best. We think coming out with a high-quality product is important. So, a similar product is in market, and I would probably characterize the tribal vapes. This is a full spectrum extract. It does highlight that the quality of flower, and it's looking, it's for people that probably enjoy the flower experience. This consumer already exists and are looking for a more discreet way often or not having to pull through an entire joint. So, if you've got kids around, if you've got, if you just want to be quiet, you don't want to have a whole or just convenience, vapes work really, really well. We are not competing obviously against the cotton candied style flavors. We're competing for cannabis consumers that love cannabis. And we believe that the FSE, which is called in the legacy market consumer is already out there. The 1964 brand is going after the legacy consumer to bring them into the legal market, and I think that's exactly what this product is doing. When you walk into a store as a legacy consumer, in particular an experienced one, you'll know what this product is.
Andrew Semple: That’s great. Next question would just be on the gross margin. You provided some of the factors that weighed on that this quarter. Maybe you could just rank order in terms of magnitude, what were the largest factors in terms of the pressure on margins this quarter that would be helpful?
Margaret Brodie: Yes. I'd say it's probably three-pronged, what we said, and they're roughly equal drivers. So, the two things that we started to see in the second half already that continued into quarter one, which was overall the flower market, the pricing being compressed, which obviously squeezes margins as we look to stay competitive within our value set, and to switch up to larger margins. Consumer sentiment just moving away a little bit from those premium offerings. And so, the way they stay within our brand is to trade up to the larger sizes, which obviously offer greater value for them, but do squeeze our margins a little bit. The second and equal impact is really where that innovation has come from, which is the edibles, which is notoriously a lower-margin category. So, we're, we love that category as it's great for our top line brand and we're winning a consumer there that is often different than the flower consumer, but it does come at a lower margin overall and with third parties being involved in the procurement of that as well. And then the third thing is just that seasonally lower Q1 quarter as well, where our fixed operating costs that you see in our production cost line, those get expensed every quarter regardless of what the top line is. And so, we're building built a little bit of inventory in Q1 as we typically do and then we sell that through in the remaining quarters. So really do expect a bounce back to start to happen again from Q2 and beyond and getting ourselves back to the margin levels we experienced in the second half of 2023.
Janis Risbin: And we expect that. We also think that we had a lot of innovation that was the newer products and that's an easy thing for the sales team to talk to. And we've been turning the ship to refocus that on as I said, when you've got a new product that comes in, it's easy to speak to, and we just had to do a little shake up to make sure we were focusing on the right products in store and with retailers.
Andrew Semple: That’s helpful. And maybe a last one just quickly, if I may. Could you give a quick update on when you're expecting some of the yield and product quality benefits from the new tables installed at the Delta facility, when we should start to expect those to appear more substantially in the financial results?
Margaret Brodie: Thank you. That's a great question. We have a couple of things that you'll notice in what we're doing. One is we run a lot of trials and like to learn from everything that we're doing to always get better. Organic is more difficult, but we believe brings a more wonderful product. We believe we're going to start to see the positive impacts on yield in the second half. We've been running a whole bunch of trials and building our IP database around what we do. We believe that we actually are the leading organic cannabis company in the world at this stage. We want to continue on that. So, second half is the answer. But also, I think what you're going to see from us is the contract grow relationships with our own genetics, what they've done is they're feeding in so that we can grow our overall revenue line with vape. So, we've got those genetics seeded at other locations, including always looking at good alternatives, we'll be able to grow that revenue line without as much constraint, which is wonderful.
Operator: Thank you. There are no further questions at this time. Please proceed.
Margaret Brodie: Thank you, everyone for joining us today. Watch for our vape products on store and we'll be reporting back to you in the second quarter with our results and preliminary feedback. We are committed to driving Rubicon Organics forward as a leader in premium and organic cannabis in Canada. And thank you all for your time and attention today.
Operator: Thank you. Ladies and gentlemen, the conference has now ended. Thank you all for joining. You may all disconnect.